Operator: Good day, and welcome to the Symantec's Third Quarter 2015 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss third quarter 2015 earnings results. By now, you should have had the opportunity to review our earnings release and supplemental information. We've also posted a presentation that complements our prepared remarks. If you have not reviewed these documents, they can be found on the Investor Relations homepage. A copy of today's prepared remarks will be available on the website after our call is completed. Participants on today's call are Mike Brown, Symantec's President and CEO; and Thomas Seifert, Executive Vice President and CFO. This is a live call and will be available for replay via webcast on our website. I'd like to remind everyone that we provide year-over-year constant currency growth rates in our prepared remarks except for statements about net income and EPS. All references to financial metrics are non-GAAP unless otherwise stated. Also, implied billings refer to revenue plus the change in sequential deferred revenue, and we've provided a trended history of this metric in our supplemental information in both as-reported and at constant currency rates. I'd like to take this opportunity to highlight a few dates for you. Mike will be presenting at the Goldman Sachs Technology Conference on February 11, and we will be holding our Financial Analyst Day in New York on April 17. We intend to announce our fourth quarter earnings on May 14. Please note non-GAAP financial measures referenced during the call are reconciled to their comparable GAAP financial measure in the press release and supplemental materials posted on our website. Today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date, and as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to the cautionary statement in our press release for more information. You will also find a detailed discussion about our risk factors in our filings with the SEC and in particular in our annual report on Form 10-K for the year ended March 28, 2014. And now I'd like to introduce our CEO, Mr. Mike Brown. Go ahead, Mike.
Michael A. Brown: Thank you, Helyn. Separating our security and Information Management businesses has already began to improve both our strategic focus and operational discipline. Our employees, partners and customers are energized about our future and our momentum is accelerating. We continue to execute on our 5 key priorities, especially in managing our businesses as a portfolio, which resulted in operating margin and EPS that exceeded guidance this quarter; achieving our operating margin target of 30%; implied billings growth of 3% year-over-year on a constant currency basis, marking our third consecutive quarter of implied billings growth; and year-over-year deferred revenue growth for the first time in 6 quarters. Now I'd like to discuss the progress we've made in more detail in each of our 3 segments, starting with our Veritas business. Revenue growth in our Information Management segment accelerated to 5% year-over-year from 3% in the September quarter, driven by double-digit revenue growth in NetBackup software, NetBackup Appliances and Enterprise Vault.cloud. Last week, we unveiled the new name of our standalone information management company, Veritas Technologies Corporation. Veritas remains a powerful brand that still has tremendous equity with our customers, partners and employees. The need for Information Management solutions continues to accelerate with growth in unstructured data projected to increase at 42% per year. This trend is underpinning the growth we are seeing in this business. We continue to outpace the market, with 15% year-over-year revenue growth in NetBackup software. Our NetBackup Appliances grew 22% year-over-year, driven by the October launch of our NetBackup 5330 appliance, which delivers twice the performance and capacity of prior models, making the management of information even simpler and less expensive. Similarly, in archiving, we had key releases that enabled our customers to access their archived content anywhere, including on mobile devices and to archive nearly any type of content. We are gaining share in all of these markets. Veritas will continue to aggressively enhance its industry-leading backup and recovery, storage management, clustering, disaster recovery, archiving and eDiscovery core solutions with releases planned across all key products over the upcoming year. Those solutions will also create a foundation for new information availability and insight technologies that would help customers unlock the value of their data to help drive business productivity and profitability. By extending current product capabilities, leveraging IP and developing differentiated architectures, Veritas will bring next-generation solutions to market designed for the hybrid cloud throughout the upcoming year. Two examples of these solutions include the Information Map and the IT Resiliency Platform [ph] . First, the Information Map is a cloud-based service that provides a global view of all the information across an organization in a simple and rapidly deployed solution. The Information Map is the first application that will leverage our information fabric technology and the catalog from NetBackup, the most commonly installed backup platform in the world. Second, the IT Resiliency Platform [ph], due out this summer is a new business continuity software solution providing one-click application recovery automation for complex enterprise hybrid clouds. Late last year, we announced the joint partnership to also deliver this capability as the complete service offering with HP services and the HP Helion OpenStack cloud platform. Both form factors reduce business risk and expense by bringing simplicity to complex enterprise operations. We shared our security strategy when we announced the separation of our businesses on October 9. The 3 pillars of our unified security strategy are first, provide a unified security global analytics platform that leverages the intelligence of our enterprise and consumer offerings, augmented by third-party data, to provide secure outcomes to customers better than anyone else. Second, simplify our Enterprise Security Product portfolio by delivering newly developed integrated advanced threat protection and information protection. We've already simplified our Norton offerings to a single product. And third, grow our cyber-security service capabilities. We continue to make progress in realizing our strategy, particularly in leveraging our telemetry to deliver better threat protection for customers. Now let me discuss some of the progress we've made in our Consumer and Enterprise Security segments. As the largest provider of security for consumers, we continue to protect customers against increasingly sophisticated threats. As an example, we recently uncovered a 0 day vulnerability which affects several versions of Adobe Flash Player. Consumers with the latest Norton Security updates were protected against this threat. Our previous efforts to simplify our Norton product portfolio and exit unprofitable OEM products resulted in 1,055 basis points of year-over-year operating margin expansion. As we noted in our last earnings call, more transparency in automatic renewals in Norton, along with our decision to exit certain unprofitable OEM and retail channel arrangements, results in negative year-over-year revenue comparisons in the Norton business over the next several quarters. Norton revenue was down 7% year-over-year to $461 million. However, the net impact of eliminating unprofitable revenue and lower operating expenses more than offset lower revenue, resulting in 15% year-over-year growth in operating income. We believe we can mitigate the revenue declines in Norton by improving online customer acquisitions, enhancing the customer experience, transitioning Norton customers to a subscription service and by providing a virus-removal guarantee to customers who opt in to auto renewal. Since Norton revenue is ratable, we expect the next 4 quarters of year-over-year declines to be at the magnitude we are seeing today. However, the rate of decline should start to moderate as revenue compares ease after that. Throughout this period, we expect to maintain operating margins above 50%. Moving to our Enterprise Security segment. Today, most advanced threats exploit endpoints to steal financial data and intellectual property. With our market-leading position at the enterprise endpoint, we are well positioned to help customers counter these trends. Symantec Endpoint Protection or SEP's revenue growth of 5% year-over-year underscores our continued leadership in endpoint security, the largest segment of the security market. In a moment, I will discuss how we will further extend our endpoint leadership through our upcoming advanced threat protection offerings. Unified Security is our name for Symantec's strategy to collect massive amounts of security-relevant telemetry from the global footprint of our products, researchers and third parties in our Global Intelligence Network. To accelerate our efforts in harnessing this telemetry and building the next-generation analytics platform, we've hired 65 engineers and data scientists from Narus, a Boeing subsidiary recognized as a leader in cybersecurity, Big Data analytics as well as acquire certain technology rights. Symantec will leverage Narus's talent and expertise in data science, Big Data analytics and machine learning to deliver on our Unified Security strategy. Coupled with our efforts to enhance our analytics capability, we have organically developed a highly innovative Advanced Threat Protection, or ATP solution, which consists of 3 modules. These modules cover the critical control points of network, email and endpoint. Our ATP network solution can scan or block malicious traffic using all of Symantec's industry-leading technologies and our new Cynic virtual execution sandbox capabilities. ATP network will correlate suspicious traffic with endpoint and email activity monitored by other Symantec products. With this product we will provide a differentiated capability in prioritizing incidents for security professionals to help them cope with the increasing number of false positives that occur with competitors' products. For example, when malware is detected on the network, a security professional will be able to see that SEP or Email Security.cloud has successfully blocked it, eliminating the need for further remediation. ATP Network will ship in the June quarter. ATP Email extends our Email Security.cloud offering by providing additional visibility into targeted attacks delivered via email, a common attack vector for advance threats. ATP Email will also ship in June quarter. ATP Endpoint will collect endpoint activity data from our SEP agents and apply machine learning algorithms for detection and prioritization of suspicious files and behaviors. ATP Endpoint compares customer-specific data with our Insight reputation global data and can submit files to Cynic to reduce false-positive and increase the confidence of detection. The security professional can then direct SEP to blacklist and eradicate these threats. ATP Endpoint will ship in the September quarter. Importantly, ATP Endpoint is not a SEP replacement but a complementary add-on product that makes customers' investment in over 100 million Symantec endpoints more valuable. With these ATP products, Symantec will be well positioned to address not only better protection but also detection and response. Customers will be able to purchase any of our 3 ATP components together or may leverage investments they've already made in third-party's network solutions by purchasing any of our ATP offerings separately. Now I'd like to touch on our information protection product family, where we're bringing 2 new cloud solutions to market. A comprehensive security solution not only keeps threats out of an organization, but it also keeps critical proprietary information in. Symantec's information protection products, including our flagship DLP offering, are the industry leaders with nearly twice the market share of our closest competitor. Our information protection solution will enhance advanced persistent threat detection intelligence by providing additional telemetry regarding location, access and movement of confidential information. This telemetry can then be profiled and correlated with our other products to better detect advanced threat activity. For example, in the case of a large network breach, since DLP knows which user machines actually store the most confidential information, security professionals can start at the source of greatest risk. We are well positioned to leverage our DLP market leadership to protect enterprise data stored in the cloud and on mobile devices. In the December quarter, we launched 2 new DLP cloud solutions: DLP for cloud email for Microsoft Office 365 Exchange and DLP for Amazon Web Services. Finally, I'd like to discuss our cybersecurity services which address a $10 billion market opportunity by 2018, growing at a 30% compound annual growth rate. We are the only company in the world with the breadth of cybersecurity services that includes our market-leading security monitoring services, incident response services, managed adversary threat intelligence services and security simulation services. In the December quarter, we launched our managed adversary and threat intelligence annual subscription service, which provides clients with advanced warning and intelligence on key threat actors and their emerging tactics, techniques and procedures. This quarter we are launching the cybersecurity simulation service, and we have already secured a large European government as a customer. This week, we launched our Incident Response retainer service in North America and the U.K. This service allows customers to take a more proactive approach by identifying gaps in their existing incident response programs and deploying defense capabilities in advance of a security incident to reduce the time to identification and eradication of the threat. As the world's largest security company monitoring 4.3 trillion global threats in real time, with more than 500 full time researchers, we continue to uncover new threats every day. We were the first to publish on Regin, identifying the advanced spying tool that displays a degree of technical competence rarely seen, exhibiting traits reminiscent of other sophisticated malware families like Stuxnet. We will continue to move quickly in making the changes required to ensure Symantec has a more successful future, and in doing so, we will stay focused on executing to deliver for customers, employees and shareholders. We look forward to outlining our business model targets for Veritas, Consumer Security and Enterprise security in more detail at our Financial Analyst Day on April 17. Now I'll turn it over to Thomas to provide a review of our financial results and guidance.
Thomas J. Seifert: Thank you, Mike, and good afternoon. Both Symantec's operating margin and earnings per share exceeded guidance which drove operating margin above our 30% target. And at guided rates, we delivered revenue within our guidance range. The U.S. dollar continued to appreciate significantly against major currencies during the December quarter, creating a headwind of $60 million to our revenue and $183 million to deferred revenue on a year-over-year basis. Our implied billings were up 3% year-over-year, marking our third consecutive quarter of growth. The number of large deals greater than $300,000 grew 21%, with strength in financial services, insurance and information technology. On a constant currency basis, deferred revenue grew 1% to $3.5 billion. License revenue continued its improving trend from last quarter, growing 20% year-over-year and 35% on a sequential basis. Strength in license revenue was driven by enterprise backup and appliances. Enterprise subscriptions increased 3% year-over-year, accounting for 15% of total revenue. Moving now to our business segments, in Consumer Security, we continue to drive operating margin higher, increasing 10.6 percentage points year-over-year to 53%. As Mike discussed, we exited certain unprofitable OEM and retail channel arrangements as well as provided greater transparency on automatic renewals, which are adversely affecting revenue and billings in Norton over the next several quarters. Revenue in the period was down 7% year-over-year to $461 million. Enterprise Security revenue was flat year-over-year at $509 million. Our Endpoint Protection and DLP products grew 5% and 2%, respectively. This was offset by weakness in Endpoint Management and Mail and Web Security. GAAP operating margin declined to 17% compared to 20% in the year-ago period, driven by higher support spend. Information Management revenue increased 5% year-over-year to $668 million. NetBackup Appliances and software generated strong year-over-year growth of 22% and 15%, respectively. Strength in NetBackup was offset by weakness in Backup Exec. GAAP operating margin improved sequentially to 25% compared to 20% last quarter but was down versus 27% in the year-ago period due to higher commissions. Gross margin decreased 30 basis points year-over-year to 84.1%, driven by growth in our lower margin appliance business. We achieved an operating margin of 30.4%, 140 basis points expansion year-over-year, through a combination of pricing optimization and improved renewals processes which drove enhanced top line performance, coupled with profit improvement programs such as optimizing the Norton business. We incurred restructuring costs of $39 million and separation costs of $29 million during the December quarter. As we noted last quarter, we are reducing our workforce and taking steps to improve our cost structure as we prepare for the separation. We expect the remainder of these charges to occur in the March and June quarters. Net income of $367 million resulted in fully diluted earnings per share of $0.53, up 2% year-over-year. Now turning to cash flow and share purchases. Cash flow from operating activities totaled $358 million, up 9% year-over-year, driven by the ongoing reductions in our cost structure. Sequentially, cash flow from operations was up 107% from $173 million. Capital expenditures were $101 million as we continue to build our IT and cloud infrastructure. We returned $229 million to shareholders during the December quarter via share repurchases and dividends. $104 million was in the form of cash dividends and $125 million was used to repurchase 4.9 million shares at an average share price of $25.63. We have $283 million remaining under the current stock repurchase authorization. We remain confident in the strength of our cash flow generation and continue to be committed to returning value to our shareholders. With this goal in mind, our Board of Directors has approved a new $1 billion share repurchase program. Now I'd like to briefly discuss some of our revenue and cost initiatives. We reached our fiscal year target for our renewals initiatives with a greater focus on value selling and process improvement. In license compliance, we've ramped the team to conduct more than 3x the number of audits here to date than we completed in fiscal year '14. In the fourth quarter, we expect to conduct more than 10x the number of fiscal year '14 audits. With our cost saving initiatives, for the second consecutive quarter, we've realized the benefits of optimizing the Norton segment. We're focusing our global footprint reduction efforts to optimize our labs, data centers and location for 2 standalone companies. Before I review our guidance, I'd like to discuss the progress we are making to complete the separation of the Veritas and security businesses by calendar year end. We've finalized the planning phase of the separation and are advancing to the execution phase, and our separation activities remain on track. Let me review some of the important milestones that we have achieved. First, we've chosen Veritas Technologies Corporation as the name for the Information Management company and plan to relaunch the Veritas brand in a phased approach over the coming months. Second, we've named key leaders as well as sales and product personnel for both businesses. The Veritas and Symantec sales organization will be operating independently as the new fiscal year begins. Third, in the area of consumer and partner contracts, we've made significant progress in allocating products and services between Veritas and Symantec. Fourth, we have begun building an ERP solution for Veritas and are well underway towards separating IT infrastructure. And fifth, we've finalized key real estate decisions and made substantial progress in creating the appropriate legal entities and corporate infrastructure to separate the companies. And consequently, we're on track to make Veritas operational as a standalone company in October. Over the coming month, we'll complete carved-out financial statements and prepare the Form 10 to be filed with the SEC by August. At our financial analyst event, we will provide more detailed information, including financial targets for each business. Now turning to guidance. At the beginning of the fiscal year, we set our guidance at an exchange rate of $1.38. At that rate, we expect to achieve revenue growth year-over-year as reported and exceed our original fiscal year '15 guidance on all metrics. We are now providing fiscal year 2015 guidance at the weighted average exchange rate of $1.28. Using the exchange rate, we expect fiscal year '15 revenue to be between $6.515 billion and $6.575 billion, operating margin between 27.5% and 27.7% and EPS between $1.87 and $1.90. With the continuing strengthening of the dollar against other major currencies, we're expecting an FX headwind of approximately 5.5 percentage points to our year-over-year revenue growth in the March quarter. At an exchange rate of $1.16, we expect March quarter revenue between $1.525 billion to $1.585 billion, with operating margin between 26.5% to 27.5% resulting in EPS of $0.42 to $0.45. The company's operating margin will be lower in the March quarter compared to December quarter due to typical seasonality and the FX impact. In conclusion, I am pleased with the progress the team has made in better aligning our cost structure and setting the path to growth. I look forward to sharing more details on our progress at Financial Analyst Day. And with this, I'll turn it over to Helyn to begin taking your questions.
Helyn Corcos: Thank you, Thomas. Operator, will you please begin polling for questions?
Operator: [Operator Instructions] And we'll take our first question from Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: Just on the security side, I'm wondering, it feels like your endpoint business is performing well. The last time we had an update on that business, it was a big part of that security business. Can you talk about what the outlook looks like for -- you highlighted Endpoint Management, Mail and Web as drags on that business. Is there anything on your road map that you think will help to mitigate some of the declines you're seeing and can help the SEP business, which I think is the lion's share of that business, the growth there shine through?
Michael A. Brown: Walter, so we are continuing to improve our SEP or endpoint product, which, you're right, is the flagship of our security -- Enterprise Security portfolio. So with continued releases, we would expect to keep up with some of the trends we need to, to better protect attacks. And then I think significantly, as you referred to, the ATP series is a set of modules that are really complementary products. So ATP endpoint obviously will be a complementary product that will better protect the endpoint, but it also drives strength from the modules that we'll be selling with that. And so ATP network, for example, will be attacking a completely new market for us to better protect incoming attacks that occur over network traffic. So we're excited about the continued growth we're seeing in the endpoint product. We're going to continue to enhance that product, but the ATP solution is something that will be additive to our revenue in the Enterprise Security portfolio.
Walter H. Pritchard - Citigroup Inc, Research Division: Got it. And then Thomas, for you, on the buyback the $1 billion, I might have missed this because I was hopping around on calls. But $1 billion that you announced, you're pretty much continued the $125 million per quarter on the buyback. Should we think about that $1 billion, is it all impacting the run rate at which you buy back stock?
Thomas J. Seifert: Not at this point. We were down to, I think, slightly above $280 million remaining in the previous authorization. That is the run rate we had that you correctly mentioned. That was not enough of a buffer. And we were rather public that we are going to continue the capital distribution policy that we have in place to date at least until the separation takes place. So this new authorization is really enabling to continue with what we have in place. And at this point in time, not a contemplation to increase the run rate.
Operator: And we'll take our next question from Raimo Lenschow with Barclays.
Raimo Lenschow - Barclays Capital, Research Division: A question for Thomas. Thomas, if you look at the improvement in margins so far, they are very impressive and you've kind of keep working on inefficiencies. And how do we have to think as we go through the year in terms of pre-and post the separation? Are there things that you can do after the separation that is kind of not possible today? Or are you kind of driving this towards optimum level and then as we have to separate the company, we just kind to have to live with the revenue growth then?
Thomas J. Seifert: A very good question. Of course, we think, and I think we said that before, that the momentum that is building through the initiatives and driving the organization to better focus on efficiencies, that momentum will carry into the new fiscal year and we will carry that momentum also in both entities after the split. Of course, the rate of improvement is going to slow down a bit. It's going to plateau. And we were also public saying that some of these savings we are going to reinvest, especially in the security side, on the Symantec side, we're going to reinvest some of the efficiency gains into innovation and R&D spend. So you could expect improvement beyond separation, but probably at a slower pace.
Operator: We'll go next to Brad Zelnick with Jefferies.
Brad Alan Zelnick - Jefferies LLC, Research Division: I wanted to focus on the consumer business. Even with consumer revenues down 11%, you were able to maintain 43% operating margin, 10 points better than the prior year which is again very impressive and similar to last quarter. But last quarter, 7 of those 10 points came from a year-on-year improvement to the OEM fees that were not paid as they were in the prior year. And I'm assuming that, that's similar in this quarter. But what I'm trying to understand is for every dollar you save in OEM fees in the period you forgo multiple quarters of revenue for the unit that you didn't acquire. So what I guess I'm trying to ask is, how sustainable should we think about the margin improvement being?
Michael A. Brown: Brad, I think about it as being very sustainable. I mean, one of the things that you point out about the OEM placement fees is they should help pay for an ongoing stream, or you can think of it as annuity. But what you find when you look at the actual results from placing with OEMs is first of all, you're not assured that for the business they do that's not direct, for example, what they sell through retail, you can be replaced even before the consumer sees your product. And we were finding that with large retailers that many of them exert their own power to put whatever consumer protection product they would like on there depending on how they're paid. And then those in turn end up being a lower rate of renewals. So the business is driven off how well you can improve renewal rates. So rather than rely on this chain of very uncertain transaction, us, the OEM, the OEM to the retailer, the retailer to the consumer, we're choosing to focus on improving the online acquisitions, going direct to the consumer, improving the customer experience and then improving the renewal rate. That's one of the reasons why we simplified the product line and have gone to subscription service. Now it will take us a number of quarters to be able to convert most of our Norton consumers to a subscription service. But when we do that, we believe we'll have very sustainable business and really get away from the headwind we're facing right now that relates to auto renewal policy changes.
Brad Alan Zelnick - Jefferies LLC, Research Division: I appreciate that color, Michael. And just as we think about the shift to more of a subscription service on that journey, can consumer be down double digits at constant currency? I think it was down 7 this quarter. But when we put our models together, what does that trajectory look like? And again, I appreciate the backdrop. That operating income for that segment is up 15% for this quarter, which is extremely impressive and you've done a great job managing the segment.
Michael A. Brown: Yes, as we said, we expect for the next several quarters to have rates of decline that are equivalent to this magnitude, and then we would expect the compares to ease or improve so that, that trend becomes moderated. And obviously, we keep you updated as we go through that.
Operator: We'll go next to Philip Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: My question actually, I want to focus on license growth. I mean, I was looking back at my model, I think it's been over a decade since we've had 2 quarters of constant currency license growth north of 20%. And so, I guess my question is I know we have sort of an easy comp here these last couple of quarters, but you also made so many changes in the past 18 to 24 months on just the go-to-market strategy. How do you feel that those are paying off? And how do you kind of expect kind of license to the trend moving forward?
Michael A. Brown: Well, Thomas probably will have a comment on this in a minute. But before he comments, I would just say that the license growth we're seeing is driven by some particular products, as we mentioned. So if you look at the strength that's being driven by our Enterprise NetBackup business and our Appliance business, we're both growing share in that business right now. And we're focusing more of our resources in the backup business towards the Enterprise. So, for example, on the Appliance business, we just introduced the 5330 at the end of last quarter. It doubled the capacity and performance of a previous model that was in the market. So we're really addressing a whole new market segment there. And we would expect that we'll be able to continue not only to expand that globally because it was introduced first in North America with that product, but also we'll continue to make improvements in capacity and performance. So we feel like that trend has some staying power.
Thomas J. Seifert: Not much to add from my sight. I think we see the benefits of the go-to-market changes that have been initiated. Unfortunately, some of the progress is camouflaged or headwinded by currency topics for the time being. But the soundness [ph] of the transformation attacking some of the root causes of the underperformance in the past seem to be rather effective. And that's why we are quite content for the profits we have achieved so far.
Operator: We'll take our next question from Brent Thill with UBS.
Brent Thill - UBS Investment Bank, Research Division: Just on the network side, you guys have typically shied away with the Boeing acquisition that was at least chattered as having network monitoring capabilities. You just mentioned now you're entering ATP with network. Is this a new strategy that Symantec is no longer going to shy away from the network and you're going to make a much stronger proactive push this way going forward?
Michael A. Brown: Brent, I wouldn't view it as a new strategy. It's really just reflecting the fact that network traffic is an important area to understand when you're trying to analyze a threat. So if you recall, when we, several quarters ago, introduced our first ATP offering, which was managed security service ATP, it also took advantage of a partnership that we have with 3 of the next-generation firewall providers: so Cisco, Sourcefire, Palo Alto networks and Check Point. So it's not an indication that we're going into network. Don't expect us to be delivering a next-generation firewall product. But we are recognizing that adding that telemetry to what we already do in terms of understanding from the other control points like mail, email, like web, like endpoint, is an important element in understanding the whole. So we'll continue to partner there. And if we can provide a product like we're doing with ATP network that complements an investment of firewall, you could expect something like that from us.
Brent Thill - UBS Investment Bank, Research Division: Okay. And just really quickly, Michael, you mentioned north of a 50% operating margin you can maintain in the consumer business. I guess, it just blends into the next generation of endpoints you're seeing this new breed of solutions entering the market from a lot of competitors. And when you think about, clearly, there's been some inefficiencies in that business that you're addressing which is great to see. But the question I get a lot from investors is, are you putting enough in the innovation pipeline to get out with something here? So the question is just, can you continue to maintain that type of margin while blocking these next-generation vendors coming in with a new series of endpoints?
Michael A. Brown: One of the things that is often missed is that there's tremendous leverage between the Consumer business and the Enterprise business at the endpoint. So all of the innovations that we talk about for Enterprise endpoints are also in our Consumer product. And in fact, as consumers subscribe, they're getting more of a real time improvement in product capability. So in addition to the real time signature updates which people were getting before with products, now you actually can get improvements in the functionality rather than waiting for a renewal cycle and downloading the next version. So we're keeping consumers every bit as protected with advanced features, use of high capability analytical engines that we have and sourcing that vast telemetry that we like to talk about, that 4.3 trillion objects in real time that we're monitoring globally. So consumers are benefiting from that just as our Enterprise customers are.
Operator: And we'll go next to Keith Weiss with Morgan Stanley.
Keith Weiss - Morgan Stanley, Research Division: I just wanted to dig into the concept of the consumer subscription a little bit just to get a better understanding of what we're talking about here. I've always thought about the Norton business as at least a recurring revenue stream if not a subscription. What exactly do you mean by sort of a consumer subscription now? And is it a price increase that's going to help sort of the monetization there?
Michael A. Brown: Well, I think of it in 2 ways. So one is that we are able to keep customers protected and avoid this question of an annual renewal cycle. So this is something where we made changes to the business recently, somewhat in response to changes in consumer protection in EMEA but was rolled out worldwide. And if you think about it, every time you present the customer with a renewal opportunity, they have to make a choice, there's an opportunity for leakage in the business. If someone is a subscriber, then they maintain their subscription until they opt out. So that's what we mean by going to a subscription basis. This is the second way to think about it. A customer benefits here because we're not waiting for a renewal and a download. So that means that rather than a 1-year cycle that at the end of that period and then I download a new version, we can provide more continuous updates to the customer in terms of functionality of the capability delivered from the cloud. So it's just a more modern way of protecting consumers. They get better protection, and we think there will be a better business model that results for Norton and Symantec.
Keith Weiss - Morgan Stanley, Research Division: Got it. So if you call it subscription then, you kind of -- it gets around the idea of not having to do an auto renewal anymore because a subscription could be open-ended.
Michael A. Brown: Right. That's right.
Keith Weiss - Morgan Stanley, Research Division: And then when we think about Symantec Endpoint Protection and some of the new functionalities coming out on ATP, you said it's going to be a separate product. Do you think -- I mean, do you foresee doing any bundling? Because I mean, we've seen a lot of new functionality come out of the endpoint and it tends to get bundled into an endpoint security suite over time. What's your confidence that this is going to be sort of an independent, sort of separate product that you'll be able to get some pricing power from versus something that over time is just going to get bundled into what is the endpoint agent?
Michael A. Brown: Well, if I think about one way your question could be going, it's kind of how inconvenient is this for customers. And actually it's designed with customer convenience in mind because it takes a large enterprise something on the order of 2 years to implement a new endpoint protection. And that's because it needs to be qualified and tested. You not only have to replace perhaps an endpoint product with a new endpoint, but also the endpoint manager needs to be replaced at the server level. So rather than ask our customers to go through some kind of a 2-year upgrade cycle, they're able to add this complementary product of ATP endpoint and get this advanced capability while leaving their current investment in SEP leveraged. So I think that -- and of course, that will be at a different price point because this will be a separate capability that we'll be offering from what people have traditionally bought with endpoints. As it relates to future packages down the road, it would be too early to say. We'll have to see what customer feedback we get as we launch this initial ATP solution with the 3 modules. We'll certainly be looking for their feedback on what's the best way to buy security in addition to continuing to offer services for those customers that don't want to go through that process of trying to integrate products themselves, we view expanded services as another growth opportunity.
Operator: And we'll take our next question from Matt Niknam from Goldman Sachs.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: I just wanted to dig into some of the momentum that you referenced that you started as you begun separating the 2 businesses. How do you ensure this momentum continues in the face of some of the ongoing headcount reductions in the business?
Michael A. Brown: Well, the momentum is really driven by what we're seeing -- let's start with the Veritas business -- as the opportunities that we're focused on. And so we feel like we're focused on some of the higher growth opportunities where we have real advantage. So we've talked often about NetBackup as being the premier backup product for enterprises, and we're gaining share in that right now. We're investing in improving NetBackup with more frequent releases. We would expect that to be able to continue to drive strength. Same with the Appliances which, of course, has been one of our fastest-growing businesses and we're clearly gaining share, now the #2 in that market. So I think the headcount reduction is separate. They were looking for some efficiencies and we're being smart about where we would take that headcount reduction. That doesn't get in the way of providing better products for customers, R&D or the selling motion, where we have productive territories. So I really see them as 2 different activities that we're looking very carefully at the connection between where can we get continued growth but still drive efficiencies and not slow down our progress.
Thomas J. Seifert: Yes. I think it's important that we especially protect the momentum in 2 areas: on the innovation front and on the go-to-market side. On the innovation side, we hardly touched our overall R&D spend. We're putting a lot of focus into productivity measures, getting faster doing HR [ph] deployment and more efficient development processes, but we are hardly touching R&D from an overall spend perspective in order to protect the innovation momentum. On the go-to-market side, we've accelerated the separation. I've been talking about getting operational separation for the 2 entities by October. We plan to enter the new fiscal year starting April. However, with 2 separate sales organization so the sales leadership has been dedicated. The coverage models have been defined. Sales compensation and quotas have been rolled out so we can make sure that we are not impacting that momentum during the year but are in the right starting positions with the first day of the new fiscal year.
Michael A. Brown: Thomas brings up a good point on the go-to-market motion. So we, in fact, have increased the number of quota-carrying salespeople while bringing total sales headcount down. Leadership for each of these 2 sales forces has already been meeting to start planning FY '16 in Q1. So it's certainly our intent to have as smooth a transition as possible to the beginning of next fiscal year when we'll have those sales forces completely dedicated.
Operator: And we'll go next to Nikolay Beliov with Bank of America.
Nikolay Beliov - BofA Merrill Lynch, Research Division: I have a question around Enterprise subscriptions. According to my calculation, it's a $1 billion business, which is very sizable compared to the standalone software, the service players and growing 3%. With customers consuming technology more the software, the service, can you remind us what pieces are in this bucket and maybe how this business can accelerate with the growth levers here?
Michael A. Brown: So, Nikolai, you're really asking what parts of our product line in Enterprise Security are cloud subscription?
Nikolay Beliov - BofA Merrill Lynch, Research Division: I'm talking about Enterprise subscriptions.
Michael A. Brown: Yes, so I think that's about 15% or so of our total Enterprise Security business and -- Helyn's reminding me, total revenue of Symantec, is that what you -- so thanks for the correction. And it's really the email protection. Email.cloud would be the largest product line there, largest offering.
Nikolay Beliov - BofA Merrill Lynch, Research Division: Got it. And then, I also had a question on enterprise maintenance, with license recovering nicely in the last couple of quarters. Are we at the point where enterprise maintenance has turned the curve and has actually turned positive growth rate?
Thomas J. Seifert: I think that would be a fair description from a momentum perspective. This is one of the areas where we think we are -- we've hit the turning point.
Operator: And we'll take our next question from Pat Walravens with JMP Group.
Patrick D. Walravens - JMP Securities LLC, Research Division: I'm wondering if you could walk us through the decision process for keeping the Veritas name. Was that a difficult decision?
Michael A. Brown: Sure, Pat. We sat back and looked at what is the brand equity for Veritas because that was an obvious choice to make. So we undertook some research there with customers and partners, probably no surprise to you and many of the folks who follow us, we kept the Veritas name in some of the product lines that we've had. In particular, the Storage Foundation, Cluster Server products, still very much identified with Veritas. And then we also took a look at other names that we could use. Of course, that would have cost us a lot more to be able to invest in launching another name and quickly concluded that it made sense both from the tremendous positive brand equity there was in the Veritas name, with customers, partners, employees, certainly. And that made it a very simple choice relevant to the additional costs that we would have incurred by trying to launch a new name in the marketplace.
Operator: And then we'll go next to Michael Turits with Raymond James.
Michael Turits - Raymond James & Associates, Inc., Research Division: Two questions, one product. Just on the new ATP network or sandbox product, what's the architecture of that product? Broadly, in other words, is it appliance? Is it software? Is it as a cloud component? Anything you could describe would be very helpful.
Michael A. Brown: Interesting enough, Michael, it's all 3 of those. So it will be an appliance. Of course, it's software loaded on that appliance. And it uses a cloud. So just in a nutshell, some of the key capabilities of that product. We will be able to, through the software, prioritize the incidents we see from the traffic that we're analyzing. That's key from a productivity standpoint, because one of the things that we've talked about before is the complex problem that security operations professionals have and they've got to look through a tremendous number of alerts and identify quickly what are false positives here and what's already been remediated. So the ATP network product, particularly in combination with our ATP endpoint product, you're going to be able to see if something you're observing is a potential attack. It's already been remediated on the endpoint. So tremendous benefit by looking at these capabilities together and then the ability to prioritize these incidents is a tremendous productivity improvement. Delivered from the cloud will be something we call Cynic that I referenced in my earlier remarks. So this is the virtual execution engine, the sandbox capability. And we believe this will be certainly best-in-class because we are now able to prevent attacks from what we're calling malware-aware threats. So the threats, or the malware has become more sophisticated in evolving to know if it's in a sandbox. We've got a way around that to force it to expose itself so that we can detonate that. And then of course, also delivered from the cloud is the correlation with that telemetry data that we have. So we'll be able to -- that's a capability we call Synapse so we'll be able to see what are you seeing on the network and how does that correlate with our 4.3 million threats that we are monitoring. So on appliance, obviously using software and definitely utilizing cloud capability.
Michael Turits - Raymond James & Associates, Inc., Research Division: But the virtual execution engine or sandbox was in the cloud?
Michael A. Brown: That's right.
Michael Turits - Raymond James & Associates, Inc., Research Division: And then I just had a question for Thomas. Anything that you can do to help us out on the direction for cash flow this year? You did $1.3 billion in cash off of ops from last year. I think we have been expecting that the cash impact from restructuring to be about $100 million this year. So it makes sense to think of it as kind of $100 million down from last year.
Thomas J. Seifert: Yes, unfortunately, yes. So I think I said this on the last call. We understand this year is a bit messy and we'll think for the Analyst Day whether we finally get to a point where we provide cash flow guidance on a quarterly basis. But we will have more impacts than just separation and restructuring impacts. We also said that in order to move our business model, we have to see some increased INT as infrastructure spend to consolidate sites, to consolidate data centers. And then we have some onetimes, especially this quarter, on the cash flow side, not so much from the separation but with respect to tax payments. So we ended this quarter at $358 million. For the fourth quarter, we will be up probably 20% including all the separation and restructuring charges.
Michael Turits - Raymond James & Associates, Inc., Research Division: Up 20% sequentially or year-over-year in the fourth quarter?
Thomas J. Seifert: Sequentially.
Operator: And we'll take our next question from Aaron Schwartz with Macquarie.
Aaron Schwartz - Macquarie Research: Just had one question on the Enterprise Security business. That business on a constant currency basis was flat on an easier comp arguably in a pretty strong spending environment. Can you either walk through or is there something that you're seeing in bookings that's a little different than what you called out on the revenue? Or does that business just have a couple products that are going to be naturally a drag here in the near term and you're really dependent on some of these newer, more innovative products to come out to see some sustainable growth there?
Michael A. Brown: Aaron, I think both of what you said are true. We have some products that are not growing that we called out here. But we're seeing in terms of the business activity, significant improvements that lead us to believe that in FY '16, our next fiscal year, we'll definitely see growth from the Enterprise Security segment. And in particular, we're excited about the ATP products because those are additional revenue coming from new products that provide complementary capabilities. Our DLP business continues to grow. We're twice as big as the next competitor there. We've seen that grow in the last couple of quarters and we continue to add some new capabilities to make sure that we have the best DLP capability out there. We talked in my earlier remarks about 2 new cloud offerings that we're having there, or are going to be introducing this quarter, I should say. So I am confident we're going to see some growth from enterprise security in FY '16.
Operator: And we'll go next to Matt Hedberg with RBC Capital Markets.
Matthew Swanson - RBC Capital Markets, LLC, Research Division: This is actually Matt Swanson on for Matt. There seems to be a debate kind of among IT buyers about the advantages between point solutions and a congruent full suite. And as you guys are working here to kind of grow the product portfolio, how is that helping when you're having these customer conversations compared to smaller vendors in areas like email and APT and backup, for instance?
Michael A. Brown: Well, I think there's kind of 2 concepts that you're talking about. One is the advantage of suites and the other is size of vendor. So I'll just talk about size of vendor first. I think it's a tremendous advantage to be able to supply customers, not only with a range of products but also the support that's required and the benefit of a historical ongoing relationship. So I think as it relates to size of vendor, if we can provide something that is competitive in the marketplace I think we have an advantage versus the many small companies, startups out there, even though they've got something that could be interesting. It's very complex to be integrating all of these point solutions. So I'd say that if there's something that truly offers incredible advantage, the largest enterprise customers are going to be willing to take a look at that. But even they have to be selective and it takes up a lot of their resources to be able to understand all these products and integrate them. So we should have an advantage at Symantec given our size and scale. One of the things that we're banking on, as you can tell from our strategy, is taking advantage of all that threat telemetry. So it's not just the technology capability but what do we see out there in terms of the threats and how can we make our customers smarter. We've already got some interesting proof points of customers being able to see more about what's going on and protect themselves better by taking advantage of that vast threat telemetry that we offer. That's why we think the ATP solutions are going to be so powerful in the marketplace.
Helyn Corcos: Operator, I see we are at the top of the hour, so that would be our last question.
Operator: Thank you. I'd like to turn the conference back over to Mr. Brown for any closing remarks.
Michael A. Brown: Thank you very much for joining us today, and we look forward to seeing you at our Financial Analyst Day in New York on April 17.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.